Operator: Good day and thank you for standing by. And welcome to the Sportradar First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Rima Hyder, Senior Vice President for Investor Relations. Please go ahead.
Rima Hyder: Thank you, LeRay. Good morning, everyone, and thank you for joining us for Sportradar's earnings call for the first quarter of 2023. Please note that the slides we will reference during this presentation can be accessed via the webcast on our website at investors.sportradar.com and will be posted on our website at the conclusion of this call. A replay of today's call will also be available on our website. After our prepared remarks, we will open the call to questions from investors. In the interest of time, please limit yourself to one question plus one follow-up. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including, without limitation, those regarding revenue and future business outlook. These statements involve risks and uncertainties that may cause actual results or trends to differ materially from our forecast.  For more information, please refer to the risk factors discussed in our annual report on Form 20-F filed with the SEC in March and the Form 6-K furnished with the SEC today, along with the associated earnings release. We assume no obligation to update any forward-looking statements or information, which speak as of their respective dates. Also during today's call, we will present both IFRS and non-IFRS financial measures. Additional disclosures regarding these non-IFRS measures, including a reconciliation of IFRS to non-IFRS measures, are included in the earnings release, supplemental slides and our filings with the SEC, each of which is posted on our Investor Relations website. Joining me today are Carsten Koerl, our Chief Executive Officer, and Uli Harmuth, our Chief Strategy Officer. Now, let me turn the discussion over to Carsten.
Carsten Koerl: Thank you, Rima. And good morning to everyone. We are pleased with the strong start in 2023. And once again, we produced solid results with great execution across all our businesses.  We had wins across the globe, including the US, Asia Pacific and Latin America. We also strengthened our organization with a new CEO, Gerard Griffin, new CTO, Aleksandr Sokolovskii, and as mentioned last quarter, a new CHRO, Severine Riviere-Gerstner.  We delivered first quarter 2023 revenue growth of 24% and adjusted EBITDA growth of 37% versus the prior year. As in previous quarter, our core betting product in the rest of the world and US segments led the way for this growth and strengthened our profitability compared to last year. Once again, we have demonstrated that we have the best-in-class product that are mission critical to our clients, whether they are operators, media, or sports teams.  In our rest of the world business, our value add product, managed betting service and live odds service grew 40% and 29% year-over-year, respectively, as a result of our strategy to move customers up the value chain, as well as a positive impact from our recent acquisitions.  In the US, we saw a very strong growth across betting, media and apps. Apps with betting products growing over 80% year-over-year, and once again surpassing sales to our media clients, which was up until now the larger client in the US.  The higher sales as a result of more states legalizing betting and increase in in-play betting and an increase in sales for our ads product as operators look for targeted solutions to engage more fans.  The first quarter is a big sports period for US sports fans. And our US business supports many facets of this busy period – Superbowl, March Madness, now we are running into the playoffs for NHL and NBA, opening day for the MLB – and this all creates deeper engagement with broadcasters, especially with their OTT platforms.  This actively also increases betting volumes and more investments in digital advertising by operators in 38 regulated states. Our revenue share model in the US enables us to capture a robust share of the GGR generated by all these sports.  Additionally, we believe that, through our partnerships with leagues, we have the ability to capture deeper data, especially player data, and continue to leverage that data into proprietary products and solutions that serve our customers. This is how we move up the value chain, offering operators a higher margin product.  In the US, we also have doubled down on our efforts to expand into college space. We recently announced the renewal of our partnership with Big Ten Network to power 3their OTT B1G+ platform through 2024 to 2025 college athletic season.  Additionally, with the massive growth we have seen in ads platform, we're now integrating this ads technology into Snapchat, creating a new channel for betting operators to engage and acquire customers using our paid social media advertising service.  While we execute on our growth, we also remain focused on our costs and where and how we invest. We are the leaders in sports technology measured by revenue. But we must continue to invest to maintain our leadership position, meet our clients' needs in advance of the industry.  We believe that our ability to build products based on technologies that handle big data and sports content in fan and user preferences, embedding liquidity, and increasingly become valuable for our customers and partners. Therefore, we continue to invest into our tech capabilities to automate data capturing in real time with Computer Vision and enhancing athletics and deep data in sports as well as the pairing liquidity data in real time based on artificial intelligence.  Our investments include, first, upgrade our tech stack for betting and gaming and engineering, which will enable us to drive higher revenue per engineering cost. We recently hired our new CTO, Aleksandr Sokolovskii, who will oversee this upgrade and our overall technology transformation.  Investments into Computer Vision technology to automate deep data capture in real time as a basis of advanced products, we have developed the first fully automated product for table tennis and will roll out this technology into other sports.  And we have already seen an increase in more data capturing, more matches in soccer, tennis, and basketball. This automation will also allow us to scale our scout network over time [indiscernible] believe this investment creates more betting opportunities for sport events and leading to greater revenue per match over the cost base.  Third, improving the trading algorithms for our fastest growing product, MTS, using AI to improve liquidity trading in the real time analyzers of deep sports data. The resulting margin improvement we can realize over the time here is both a benefit for us and for our clients.  And then before continue investment in the US, to continue our hyper growth in this key market, the US business is already showing results of our investment in both top line growth and operating leverage, as demonstrated by our third straight quarter in a positive adjusted EBITDA and improved margins.  While it is great to see this improvement, our goal is to continuously improve the US segment margin. This leads to margin expansion for the entire company. It is evident to us that this investment today will yield positive results tomorrow for both top line growth as well as margin expansion. It will keep betting operators smarter, connected data and analytics to manage their sportsbook, give media companies the tools to engage more with fans, give teams leagues and federation the data they need to improve their performance and expand their reach. And finally, keep the industry clean by detecting and preventing fraud, doping and match fixing.  Now I'm coming to my closing remarks. In summary, I'm very pleased with how we have started this year. We are reaffirming our guidance for 2023 that we gave last quarter.  Before I turn over the call to Uli, I want to thank him for stepping in to lead our finance team since last December as interim CFO. As you may have seen, we announced a new CFO a few weeks back. I'm excited to welcome Gerard Griffin to Sportradar. Gerard and Uli will work on a smooth transition over the next few months. I know Gerard is looking forward to speak with all our investors.  I will now turn the call over to Uli to discuss the financial results.
Ulrich Harmuth : Thank you, Carsten. And good morning, everyone. As Carsten already stated, we had a strong start into our fiscal 2023, demonstrating our strategy for growth and our prudent investments in key markets and products.  Let me take you through our quarterly results in detail. Revenue in the first quarter 2023 increased 24% to €208 million versus the first quarter of 2022. This was driven by strong growth across all our segments, with the highest growth coming from the US.  Our adjusted EBITDA grew 37% over the last year, primarily as a result of higher revenues and operating leverage as we remain disciplined with our costs. Our adjusted EBITDA margin was 18%, an increase of almost 200 basis points over the same quarter in 2022.  We also had a customer net retention rate of 120%, driven by our ability to upsell and cross sell to our existing customer base.  Now looking at the segment revenue in detail. Our rest of the world betting revenue, our largest and highest margin segment, grew 25% in the quarter to €108 million. This growth was primarily driven by an uptick in our higher value add offerings, including managed betting services, or MBS, which grew 40% year-over-year.  Within MBS, our MTS product, the Managed Trading Services product, saw annualized turnover growth of 52%. This was solid growth despite having a shorter trading month in February and sports results adversely affecting hold rates from our betting operator partners.  Rest of world betting adjusted EBITDA grew 6% to €47 million. Rest of world betting adjusted EBITDA margin was 44% compared to 51% in the prior year, primarily as a result of our investments in technology and products. We expect the margin to improve for the full year 2023 compared to the first quarter, as some of the investments translate into higher revenue and operational leverage.  Rest of the world AV segment decreased 3% to €45 million year-over-year. Although the company saw growth from both new and existing customers, revenue was impacted by the expected completion of the Tennis Australia contract with its impact starting this quarter.  Rest of world AV adjusted EBITDA increased 27% to €11 million and the adjusted EBITDA margin improved to 25% from 19% in the comparable quarter last year. The improvement was mainly due to the savings from the completion of the aforementioned Tennis Australia contracts. We remain prudent in our contract negotiations and prioritize long term profitability for our sports rights.  Turning to the United States, our highest growth segment. Revenue grew 55% in the quarter to €40 million. We saw more than 80% growth in our betting and gaming revenues, surpassing our media business in the US. This is the second quarter in a row that we've seen betting and gaming business outpace the media business, an early indication of the growth opportunity we have in the US with our higher value products.  Our advertising business also experienced growth of 87% in the quarter. This market remains strong as online betting expands to more states and betting operators increase fan engagement in more mature states through same day parlays and more targeted advertising.  The US adjusted EBITDA was €7 million. This represents the third consecutive quarter of positive adjusted EBITDA for the US market. The adjustment EBITDA margin was positive 17% versus a negative margin of 25% in the prior year as a result of the growing scale of the business despite continuous investments.  Turning to our costs. Personnel costs for the quarter increased by €25 million to €77 million compared with the same quarter last year, however, was down almost €4 million compared to Q4 in 2022. The annual increase was driven by increased headcount associated with our investments into artificial intelligence and Computer Vision technologies, higher share based compensation and inflationary adjustments for labor costs.  As we have outlined before, these are investments to support the future growth of core betting products and obtain operational leverage in the medium to long term. At the same time, we have the ability to curb costs if needed to maintain growth and continue to deliver margin.  Other operating expenses were €21 million, an increase of €2 million or 9% over prior year. The increase was the result of higher software licenses as we hire more employees, marketing and travel expenses paid to certain major events like the ice exhibition and higher costs for audit and implementation of a new financial management system.  Total sports rights costs decreased by almost €3 million to €51 million in the first quarter of 2023. The decrease was primarily the result of the completion of the Tennis Australia contract and our efforts to optimize our sports rights mix. For the quarter, our sports rights were 25% of revenue, in line with our guidance.  Our liquidity remained strong at the end of March with cash and cash equivalents plus our undrawn credit facilities resulting in the €460 million liquidity. We generated over €12 million in adjusted free cash flow for the quarter even with our 2022 bonus payout and some adverse effect.  The cash conversion was 34% in the quarter compared to 48% in the prior year and a significant improvement over the negative cash conversion last quarter. We continue to focus on improving our cash conversion cycle. As a reminder, our more mature products, such as live data, live odds, audiovisual services are based on a subscription model, whereas our faster growing segments like our Managed Trading Services and our US betting products are based on a revenue share model.  Revenue share has an inherent delay in receipt of payment as you can invoice customers only after the service periods while subscription services are invoiced at the beginning of the service period.  Our first quarter working capital result is an early indication of the effectiveness of several initiatives we are undertaking to improve our cash flow conversion.  We are reaffirming our annual guidance for 2023, with revenue to be in the range of €902 million to €920 million, reflecting annual growth of between 24% and 26%.  For adjusted EBITDA, we are guiding to a range of €157 million to €167 million, representing a year-on-year increase of between 25% and 33%.  Lastly, it has been a pleasure to serve as the interim CFO at Sportradar. I am excited to begin the transition to Gerard and introduce him to all of you.  As Carsten stated, we are off to a strong start in 2023. We remain focused and executing on our growth strategy, maintaining financial discipline and returning value to our shareholders.  With that, we are now happy to open the call for questions. Operator, can you please open up the line for questions?
Operator: [Operator Instructions]. Your first question comes from the line of Bernie McTernan of Needham & Company.
Bernie McTernan: US has been just EBITDA positive for three consecutive quarters now, how should we expect the margins to trend for the rest of the year and into 2024 with the new NBA contract and potentially tennis contract as well? And specifically on the NBA, just any additional color you can provide for how revenue and costs will be recognized.
Carsten Koerl: Uli, I think that's a question for you.
Ulrich Harmuth: We expect that the overall the US segment will continue to show profitability as we see revenues grow over the fixed cost base. As we've communicated on previous calls and as we also stated in the fourth quarter, the new NBA contracts will kick in. And it's more of an accounting issue that will be reflected in the fourth quarter since we have to amortize bigger rights deals over the entire rights period. And so, we have to capitalize bigger rights deals at the beginning of the rights period and then have to amortize it over the useful life in a straight line method, and therefore, we will see that in the beginning of the rights period, we will have higher amortizations compared to the cash payments that we have to make to the leagues because we basically have to amortize already the average of the eight years rights period. And therefore, we expect that the profitability in the fourth quarter in the US segment will go down, potentially slightly negative. But, overall in the year, we expect that the US will remain positive.
Bernie McTernan: You guys called out AI investments and Computer Vision impacting the quarter, would just love to get your thoughts in terms of maybe how long those are going to be a net drag on the P&L, how you expect that to drive revenue growth and over what timeframe? 
Carsten Koerl: The industry is in a transformation process. So we are replacing human beings collecting sport information with digital systems. So that's a continuous process. And it will be rolled out over most of the sport. What it provides is much deeper insights into the sport, what it provides is that we can create new value creating products for our clients. So the answer here is it's a continuous investment, and you're going to need to do it to be on top of the technology and to serve the clients with products which are creating value for them.  You will see this in – for us now, first, the record sports. We demonstrated it in table tennis, we roll it out in tennis, we are working in the background heavily with our partner, NHL and the National Basketball Association, on using that deep data for creating this insight. It's probability creation which we can do with this massive new data which we get. And of course, we can drive new innovative products. So the answer is that's an industry transformation and the market is very hungry for data and for the products which are based on this.
Operator: Your next question comes from the line of Ryan Sigdahl of Craig-Hallum Capital Group.
Ryan Sigdahl: [Technical Difficulty]. So, the Tennis Australia contract, appears like it wasn't profitable based on just the movement in the financials here. Is that correct? And then are there any more opportunities to optimize rates contracts for any low/no margin business that you guys have?
Carsten Koerl: Well, I think we are demonstrating pretty well how good we are managing these costs. So we are flat. If we are looking now from proportion on the revenues to the spend, what we are doing with the sport rights, I think last year, we had a lot of debate about inflation on this sport rights costs. I think we demonstrated that we can manage this very well with this quarter results.  Looking now specifically into Tennis Australia, whenever we are closing sport right deals, we want to have a return for our investors and we want to reach our goal margin. That was not possible in this case. And you see it reflected now in our results. So we increased the margin by more than 7% comparing the quarters last year to this year, so that shows it was the right decision to be done.
Ryan Sigdahl: For my second question, the integration within ads into Snapchat, how's that gone thus far? Secondly, is there opportunity to expand that into other social networks, thinking Tik Tok, Instagram, Facebook, et cetera?
Carsten Koerl: Yeah, exactly. Thinking in this direction. There are a lot of talks here. It's for us an exciting area. And Snap is from a technology perspective very quick in adopting and integrating. So that was naturally a very good partner for us in this. But the paid social is, besides the programmatic advertising, a very interesting segment for us, and you will see more rollouts here. 
Operator: And your next question comes from the line of Michael Graham of Canaccord.
Michael Graham: There have been a lot of allegations around gambling in college athletics. And I just wonder if you could refresh us on sort of your integrity services and how important that is in your product portfolio.  I just also wanted to ask a broad question, the US economy seems like it's going to go into recession, it's widely expected. Just can you comment on how your business is expected to perform in pockets of soft economic activity, either in the US or around the world, just what do you typically see from your customers? And how does the business tend to perform in those periods?
Carsten Koerl: Let's split it into two pieces. I will take over the first and then let's go Uli on the recession piece. So, you might refer to the Alabama case, where we had a coach in college who used knowledge for placing his bets. That is not something which is unusual. It happens rarely, but it happens. So I think it's a masterpiece to show how important regulation is. We could detect this because there is a regulatory framework. People are not wagering abroad in some anonymized way with some doubtful operators, which are processing this. The US has a very strong regulation. So this pops up. And I think it's a masterpiece to show and demonstrate how important regulation is.  Looking now to integrity, well, it's everything in sports betting, but it's everything in sport. We all love sports. We all want to see a fair competition. We all must make sure that this is the case. And that unites sports and the sports betting industry and operators like us. So integrity is key for this. That's the reason why we invested since 15 years continuously, and we pride ourselves to have the most robust, most universal integrity system in the world and by far the most partnerships with sport leagues and federations.  I think you have to extend this also with standards in responsible gaming and gambling standards, how we monitor from where those bets arise. And we are in that process in the US. I see very positive signs here. And I see the industry is being fully aligned on this.  But I have to reiterate, it is so important that there is a regulation. And the Alabama case shows this that it can be detected and can help to keep the sport clean and to act in a responsible way in sports betting.  Now I hand over to you, Uli, for the answer on the recession.
Ulrich Harmuth: We actually looked at the impact on recessions more from a global perspective, not US specific because there's simply more data available. And the global betting market is expected to grow 11% annually through 2027. And when we look at the historical growth rates, we basically have seen that the global betting market, like our underlying market, has grown through all of the crises, with the only exception being in 2020 when due to the pandemic, a large number of sports competitions did not take place.  And when we look at our company's performance, our revenue growth compared to the betting market, we see that we consistently managed to grow almost 3 times faster than the underlying markets due to our ability to up and cross sell to our customers and move them higher up the value chain. And based on these growing revenues, we expand our margin due to the operational leverage that we have in our model, and that obviously turns into profitability.  And that resilience of the underlying markets, but in particular also of our business model, has led to a consistent growth of Sportradar since its inception, despite all of the crisis that we've seen. A good example is probably, even in the year 2022, when the global betting markets were contracting by 11%, Sportradar still managed to grow by 6%. And therefore, we are actually pretty confident about how our underlying market will perform in a crisis, but in particular, also of how our company will perform in a recession.
Operator: Your next question comes from the line of David Katz of Jefferies.
David Katz: You've covered a lot already. And quite frankly, the question on my mind is the one you just answered. But I'd like to go a step further, please. If you could just talk about the puts and takes and/or the pivotal factors that may lead you to upside to your guidance this year versus downside, which are the issues that are maybe hanging in the balance that may or may not be within your control?
Carsten Koerl: David, we are a sports company. So let me answer with something which I hear from a lot of coaches in sport. You should never judge the final match outcome on the result in the first quarter. It's an indication. And we confirmed our guidance. And taking it was that sport word, I think it's too early that we change something on this. We confirm our guidance. Based on the data, we are exactly in the plan. That's the reason why we do what we do.  We have now a new CFO coming in with Gerard Griffin and the new CFO will review very critical older numbers. We did this in the onboarding process already. I expect no changes here. But it can be always happening. But there is no expectation in this. So confirming the guidance is I think a strong signal in the confidence of our plan and the business which we have developed and what we show in quarter one. 
Operator: [Operator Instructions]. And presenters, there are no further questions. I would now like to turn the conference back to Carsten for closing remarks.
Carsten Koerl: Thank you for joining us today. Our first quarter results reflect the solid execution we expect to see also for the rest of the year. We continue to invest against our long term growth opportunities and we are confident that our business will deliver long term growth and recurring revenues, high client retention, strong cash flow generation and higher value for our shareholders. Thanks for joining this call.
Operator: Thank you, ladies and gentlemen, for joining us today. This concludes today's conference call. You may now disconnect. Have a great day.